Operator: Good morning. Thank you for joining us today for the FIS First Quarter 2020 Earnings Conference Call. The call is being webcasted this time. Today's news release, corresponding presentation and webcast are all available on our website at FIS Global, we promise. Gary Norcross, our Chairman, President and CEO will provide a business update, including our response to COVID-19. Woody Woodall, our Chief Financial Officer will then review FIS’s financial results and describe the recent trends that we are seeing within our segments.Turning to Slide 3, today's remarks will contain forward looking statements. These statements are subject to risks and uncertainties as described in the press release and other filings with the SEC. The company undertakes no obligation to update any forward-looking statements whether as a result of new information, future events or otherwise, except as required by law.Please refer to the Safe Harbor language. Also, throughout the conference call, we will be presenting non-GAAP information, including adjusted EBITDA, adjusted net earnings, and adjusted net earnings per share. These are important financial performance measures for the company, but are not financial measures as defined by GAAP. Reconciliation of our non-GAAP information to the GAAP financial information are presented in an earnings release.With that, I'll turn the call over to Gary, who will begin his remarks with Slide 5.
Gary Norcross: Good morning and thank you again for joining us today. We're currently living in unprecedented times with the COVID-19 pandemic impacting the world on acumen, as well as an economic level, our hearts go out to all those who have been impacted by the virus. When we last got together to discuss our 2019 results, we never imagined what the next few months would bring. While we are here today to announce our first quarter results, I feel it's important to start by sharing what we're doing to protect our employees, as well as to support our clients and communities during this time.I will then discuss our strategy and investments, which will allow us to emerge from this pandemic and an even stronger competitive position, before turning the call over to Woody to review our first quarter financial performance. As a member of the President's Great Revival Industry Group and the Business Roundtable, I'm in regular dialogue with government and industry leaders around the world to chart a path toward economic recovery.While we are clearly in uncharted waters with this global spread of COVID-19, I strongly believe that FIS is well-positioned to navigate these challenging times. At FIS our immediate priorities are to keep our colleagues safe, to get back to our communities, and to support our clients.Early on, we executed company-wide crisis management measures to protect our colleagues’ health and safety. This included transitioning over 95% of our employees to work from home, expanding our employee benefits to include extended sick leave related to COVID-19, and enhancing our telemedicine benefits globally.We also broadened FIS Cares. Our employee funded charity to benefit our more than 55,000 employees around the globe in this time of critical need. Additionally, we are doing our part to help our communities on a broad scale. We have contributed supplies and personal protection equipment to the communities we serve and we have donated thousands of pre-paid cards to military families in the U.S. and abroad.In the U.K., we partnered with the Government Banking Service to provide healthcare workers with grocery and other supplies. We are also being nimble by leveraging our innovative technology in software development capabilities to quickly deploy new offerings and upgrades for our clients in this rapidly changing environment.For example, we swiftly implemented our real time lending service for many of our financial institution clients to enable them to streamline and speed the processing of the paycheck protection program under the U.S. Cares Act. To date, this service has driven much needed funding to more than 140,000 small businesses throughout the U.S.We also assisted several U.S. States to enable online purchasing of food for benefit recipients and we issued additional prepaid EBT cards to move critical government funds into the hands of the people and families who need it most. We're providing free Virtual Terminal access for merchants and retailers to enable them to easily accept secure online and contactless transactions.We continue to support the world's commerce that extends to providing payment processing to the U.S. and UK’s largest grocery and drugstores, as well as ensuring several well-known streaming services, enabling the world during this difficult time. In addition, in our capital markets group, we quickly increased our capacity to support three times normal trading volumes, which contributed to this quarter's positive results.And finally, through our newly created FIS Ventures program, we committed to invest $150 million over the next three years and promising FinTech companies, keeping us at the forefront of innovative technologies and digital transformation. We continue to serve our clients with strength and stability as the backbone to the global financial ecosystem, ensuring the transactions and accounts continue to be processed 24/7. I'm very proud of the way our employees have responded to shelter-in-place restrictions, while maintaining our client first and community giving spirit that forms the culture of FIS.Turning to Slide 6, our durable business model positions us well to navigate uncertainty. Our highly reoccurring revenue model coupled with our leading position in resilient markets, including financial services, e-commerce, and non-discretionary verticals, provide predictable revenue streams and lessen our exposure to volatility.As Woody will describe in a few moments, we have multiple levers to reduce our overall expense and protect our margins near term. Many of these reductions will benefit us now and into the future. Given our strong balance sheet, robust cash flow generation and liquidity, we have ample capacity to continue to invest throughout the duration of the pandemic.Moving to Slide 7, I want to reinforce that while these are extraordinary times our long-term strategy remains unchanged. We're committed to supporting our clients by advancing the way the world pays banks and invest. Our strategy is to accelerate organic growth by aggressively investing in innovative technologies and capabilities within our core business and executing large scale M&A to expand into secular high growth markets. This truly sets us apart from our competitors.We will build on our differentiation by developing cutting edge solutions through our modernization and innovation investments and continue to accelerate the integration of Worldpay. As you are aware, we embarked on a transformational modernization journey several years ago, beginning an ambitious new software development cycle to re-architect our solutions to be open, modular, and cloud-based.We did this because we believe that the financial services industry was moving towards its own transformation, and we wanted to be able to empower clients and the greater industry to change. Fast forward to today and clearly given our consistent sales success, FIS is leading the transformation of future ready innovations like automation, cloud native technologies, and digital omni-channel.As you think about this strategy that was implemented multiple years ago, COVID-19 will only accelerate this transformation. Going forward, we're excited to increase our commitment to this strategy and to continue powering the digital economy by providing your clients with access to innovation, world class scale, and data and insights. Our business is strong and has a long runway for growth. We're not slowing down and our priorities remain consistent.First, we will continue to invest in innovation, sales, and delivery to capitalize on our growing new sales pipelines. We had some exceptional wins in the quarter that I'll take you through in just a moment. Second, we will continue to execute on integration initiatives to accelerate synergy achievement. Third, we will scale in secular high growth markets and invest in disruptive technologies to reinforce the durability of our business model. Finally, we will drive efficiency through continued technology investments and by further streamlining our functional model.Moving on to Slide 8, our clients are clearly responding to our strategy. Our overall sales for the company was up 15% year-over-year led by continued strength in our banking segment. Due to the strength of our sales our overall company backlog increased by 6%. In banking, I'm excited to announce that we signed another three modern banking platform wins. First, Opel Bank is the first European-based bank to choose our new modern banking platform, demonstrating its global capability.Second, we're empowering one of the world's premier investment banks to help them enhance their retail operations by leveraging our modern banking platform in our private cloud. This will be a new launch for this powerhouse as they begin to offer retail checking accounts and other services. Third, one of the largest Canadian banks chose FIS to modernize our broad U.S. business by leveraging our Modern Banking Platform and Digital One Solutions.All three new wins cited the superior advanced platform architecture, which will ease their path to innovation and drive increased openness across their institutions as reasons why they chose FIS. Combined with the three Top 30 bank wins that we announced last quarter, this signifies six strategic wins in back-to-back corners. These are significant for many reasons, but the most important one is the growing movement of large financial institutions to sunset legacy on premise systems and invest in FIS new next gen and cloud-based solutions to enable their future success. Even in the pandemic, these clients are not stopping their investments necessary to transform.Turning to our Merchant segment, although we are seeing significant near-term impact from the ongoing pandemic, our impressive scale and advanced suite of services has enabled us to continue to win new deals. For example, a large global retailer will consolidate relationships with approximately 40 different providers around the world, exclusively to FIS. This reinforces our ability to leverage our differentiated global reach to win share of wallet across large multinationals and global brands.In addition, we want to deal with a growing specialty retailer and the healthcare vertical to implement our payment technology at their over 600 U.S. locations. The merchant chose FIS because our unique technology and scale advantages continue to create significant value relative to the competition. In capital markets, client demand continues for our end-to-end solutions delivered through a SaaS model.We signed a deal with a leading financial services company to provide a cloud-enabled commercial lending solution that will allow them to meet new U.S. regulatory requirements. Additionally, a large financial institution chose our cloud-based platform to manage credit and market risk. This significant win is another great indicator of our cross-selling abilities as this continues to be our large banking solutions plan. These wins further reinforce that our unique strategy remains compelling to our clients and is helping them progress their transformation during these uncertain times.As we look to the future in our increasing implementation backlog, now more than ever, remote capabilities have become essential. So, we've taken our cloud-based remote service model to the next level to provide the most robust, uninterrupted support available. Our remote delivery capabilities are proving invaluable.During the last six weeks, we have moved the fully remote implementations within banking and have increased professional services to 90% remote delivery within capital markets. This includes the implementation of our three new pivotal Top 30 bank wins that we announced last quarter, which all remain on track.I continue to be proud of the role we play at the center of the global financial ecosystem at a time when we are needed most. Thanks to all of our colleagues for your hard work and perseverance.I will now turn the call over to Woody to discuss our financial results. Woody?
Woody Woodall: Thank you, Gary. I would also like to welcome everyone to today's call and wish you and your families well. This morning I will review our first quarter results and provide an integration update before transitioning into the COVID-19 impact on our segment revenue. I'll then discuss our margin profile, which continues to be positively impacted by our achievement of cost synergies. We are also pulling short term costs levers that we traditionally use in response to macro headwinds, in order to support near term profitability. I will wrap-up with our strong balance sheet and liquidity position.All of our remarks substantiate that we will have the financial strength and wherewithal to support our clients through the pandemic. We will use this time to invest in new products and advanced technology, as well as to accelerate the integration of Worldpay. This will position us to emerge from this challenging environment in an even stronger competitive position as Gary mentioned a moment ago.Turning to Slide 10. The majority of our recurring revenue is expected to see little or no impact from COVID-19. We did however see impact to transaction related revenues across our merchant and banking segments this quarter, particularly in March, as government actions and lockdown orders became widespread. On a consolidated basis, organic revenue growth was 2%, including a 1 percentage point headwind associated with a previously discussed one-time benefit received during the same period in 2019. On a like-for-like basis, growth would have been 3%.Adjusted EBITDA increased to $1.2 billion during the quarter, and our margins expanded 510 basis points to 40.5%. Margin expansion was driven by accelerated Worldpay synergies, as well as the proactive expense levers we pulled in response to COVID-19. Adjusted EPS increased 10% to $1.28 per share, primarily due to the cost discipline I just mentioned.Turning to our segments. Banking Solutions revenue increase 1% organically overcoming two-points of one time benefits received in the prior year period. On a like-for-like basis, banking solutions would have grown 3%. Revenue growth was driven by new sale wins, as we've described over the past several quarters. Banking adjusted EBITDA was $614 million, representing 140 basis points of margin expansion to 42%.Merchant solutions reported flat organic revenue growth. Prior to the spread of COVID-19 performance in this segment was robust, maintaining the accelerating double-digit growth trends that we reported in the fourth quarter. The pandemic significantly impacted transaction volumes in the second half of the quarter. However, we have recently seen improving trends in some areas.Merchant adjusted EBITDA was $422 million representing significant margin expansion to 45%, primarily due to the Worldpay acquisition. Our capital markets segment showed great resilience growing 7% organically. This exceptional performance was primarily driven by continued growth in recurring revenue, following several quarters of strong new sales, as well as strong quarter of license renewals.Capital markets adjusted EBITDA was $280 million representing 260 basis points of expansion to 44%. As we have done in the past, FIS continues to optimize our portfolio of assets by positioning certain non-strategic businesses for either closure or sale. As a result, certain assets were reclassified from banking and merchant into the corporate and other segment. These operations represent less than 2% of first quarter revenue.Turning to Slide 11. Revenue synergies increased 25% sequentially to $100 million on an annualized run rate basis. We continue to see strength in our premium payback initiatives, bank referral agreements, as well as optimization of our portfolio and debit card routing. We had several key wins this quarter, which reinforce the power of our combination.First, another leading U.S. retailer will implement our innovative premium payback solution. Demand for this product is strong and growing. The combination of our innovative technology development capabilities with Worldpay stellar reputation among the world's leading merchants is clearly paying dividends. Second, we signed two new referral agreements with leading financial institutions adding hundreds of branches to our distribution network.Third, we developed an innovative healthcare solution with a leading benefits provider. The transactions are acquired by Worldpay as the merchant processor and approved by FIS using our own authorization engine. Even in the face of COVID-19. We are confident in our ability to achieve our 2020 and 2022 revenue synergy targets based on these impressive new wins and our rapid progress to date.Turning to cost synergies. These also increased 25% sequentially to $580 million on an annualized run rate basis. We continue to make significant progress in consolidating our merchant and issuer platforms and reducing duplicative corporate costs. In addition, we are rationalizing our facility footprint and driving functional alignment within our organization to accelerate our attainment of cost synergies. In total, we now have line of sight to at least $700 million in cost synergies on an annualized run rate basis by the end of this year.Turning to Slide 12. Given the current macro environment, I wanted to provide some additional transparency on the areas of our business which I’ve seen impact from the pandemic. On a consolidated basis, the majority of our revenues are expected to see little or no impact from COVID-19. Most of our business is supported by recurring revenue, which gives us comfort in our ability to weather extremely challenging periods.In our Banking Solution segment, financial institutions rely on our mission critical infrastructure to continue moving money and fuel the economy. More than 80% of this business is based on recurring revenue model, which is resilient and predictable. We anticipate this portion of Banking Solutions to remain fairly insulated from COVID-19. As Gary discussed, new sales have been strong and our pipeline continues to build with a heightened demand for next generation technologies and outsourcing.Approximately 13% of the Banking Segments recurring revenue mix is transaction related and has more exposure to changes in the macro environment. For example, debit, credit and network volumes declined as shelter-in-place orders expanded around the globe. While banking also has professional services revenue, our teams have done an excellent job modifying our processes to provide these services remotely.Based on these rapid innovations, I expect modest impact in the short-term and actually long term benefit as we implement these new remote processes. While our banking business is highly resilient, impacts from the ongoing pandemic push revenue growth trends to flat to slightly down in April. And we would expect this growth trajectory to sustain in the short-term.In our Merchant Solutions segment, we are a leading acquirer globally and we are differentiated by our technology enabled solutions and a diversity of our portfolio, which includes sophisticated multinational clients, leading global brands, innovative startups, and everything in between. This business is based on transactional revenue, primarily driven by consumer spending. Although COVID-19 caused acquiring volumes to deteriorate, we expect to see these volumes to start to return as locked down orders are eased, and businesses begin to reopen.Looking at merchant solution trends during the quarter, organic revenue growth was 10% in January. Beginning in February, our travel and airlines vertical started seeing a drop in volume, initially in Asia. These verticals eventually reached 90% plus volume declines, following the adoption and travel restrictions by various countries before stabilizing at these low levels.As global social distancing policies, lock down and shelter-in-place orders became increasingly widespread. We began to see the impact spread across many of our traditional point-of-sale verticals, including retail and restaurant with volume stabilizing down approximately 30% year-over-year in April. There's some bright spots. Non-discretionary verticals such as grocery and drug are resilient during recessionary periods, and have recently experienced strong consumer demand growing nearly 20%.In addition, we are seeing strength in e-commerce. Excluding travel and airlines with transactions increasing more than 30% in April, primarily driven by strong growth in digital and online retail. In total, consumer spending trends are depressed with merchant solutions volumes declining approximately 30% year-over-year, and organic revenue growth trending down about 40% for the second quarter based on April volumes.The [10-point delta] between volumes and revenue is primarily caused by the delay of the U.S. tax filing deadline from April 15 to July 15. We process millions of consumer tax payments with our biller direct solution, pushing the associated revenue out of the second quarter and into the third quarter. Based on our current analysis of trends, we believe April should be the low watermark.We have seen signs of stabilization across the segment, and even some improvement in traditional point-of-sale volumes during the last few weeks. We anticipate further improvement in transaction volumes and shelter-in-place, and lockdown ordinances are relaxed.Finally, capital markets were shielded from the impact of COVID-19 during the quarter, primarily due to our large and growing recurring revenue base. In April, capital markets organic revenue growth was relatively flat. As professional services and license sales began to see impact and we expect this growth trajectory to sustain in the short-term. We are confident in the long-term growth trajectory of our business, which is positioned to resume accelerating growth in 2021 and 2022, as the global economy recovers from this pandemic.Turning to Slide 13, we are maintaining our commitment to invest for the future as we continue to drive the accelerating growth profile of our business for the long-term. Our capital spending plans remain unchanged in 2020 enabling us to use this time to further invest in innovation and next gen technology, while others are retrenching. We will continue to invest in our global sales force to capture the market demand for our solutions, as well as enhancing our implementation and delivery capabilities to convert our impressive new wins into revenue without disruption.We've identified more than $1 billion in total cost savings initiatives that we will execute by the end of 2020. In addition to accelerating permanent cost actions that will enable us to achieve at least $700 million in Worldpay cost synergies by the end of the year we are also taking additional proactive expense reduction measures to protect our earnings and cash flow. These actions are generating more than $300 million in short-term savings through a significant reduction in short-term bonuses, restricting travel expenditures, and reducing hiring of non-revenue generating roles and third party expenses.These actions are designed to minimize the impact of employees and future growth. While these initiatives have an immediate and material impact to our second quarter and full-year 2020 margin profile, they will not fully offset the loss of significant transaction related revenue as these revenue streams carry a very high contribution margin.Given the impacts today, we would anticipate margin contraction in the second quarter. However, based on the strength of our business model, synergy attainment and other expense actions, we continue to anticipate margin expansion for full year 2020 over 2019 levels.Turning to Slide 14, we have ample liquidity of $3 billion as of March 31, which includes cash and cash equivalents of 1.4 billion and 1.6 billion of available revolver capacity. We don't have any bond maturities in 2020 with our next maturity of 500 million euros during the first quarter of 2021. We also generated 539 million of free cash flow, compared to 249 million in the prior period representing an increase of more than 100% year-over-year.Our board of directors approved an approximately $216 million dividend that will be paid on June 26. Our capital allocation priorities remain focused on de-leveraging the balance sheet. As a result of the pandemic, our 2.7 times leverage ratio target is now expected to extend into 2021. We are focused on free cash flow generation, which will allow us to continue debt repayment and make ongoing investments in innovation and delivery.As Gary described, we remain committed to our strategy and will continue to invest for growth. Our strong execution and the resiliency of our durable business model gives me confidence in FIS now and into the future. This concludes our prepared remarks.Operator, you may open the line for questions.
Operator: Thank you. [Operator Instructions] And our first question will go to Darrin Peller with Wolfe Research. Please go ahead.
Darrin Peller: Alright, thanks, guys. Just one question on the merchant business and then a quick structural question on the banking side, but first on the merchant business, and by the way, I'm glad everybody sounds like they're doing okay through this. Guy's, you know, the mix between e-com and brick-and-mortar and what the trends you're seeing there in terms of digital versus brick-and-mortar spending either now, and you know, recent weeks, but probably more importantly, can you talk to how that structurally sets you up that combined with your tech solutions, integrated payments, for the other side of this pandemic, in terms of market share opportunities, so recent trends and market share there. And then, I mean, it's really good to see the six wins now on the banking side. I'd be curious to hear your thoughts on your position in the FinTech side around the digital banking, and if you're seeing a lot of in-bound demand? Thanks guys.
Woody Woodall: I thought I might give some color on the April volumes again, just specifically, and then Gary can kind of touch on market positioning and the wins and sales. You know, we had really three different buckets things that were negatively impacted significantly. I would say that was primarily travel and airlines, which were down roughly 90% in April. Our traditional or normal pick point-of-sale volumes were down roughly in-line with Visa and MasterCard results from last week were about 30%.The bright spots in the business were a couple of things. As we talked about grocery and drug, they were up about 20%. E-com ex travel and airlines was up 30%, cross border ex travel and airlines was up 30%, and digital which was mostly in support of streaming and gaming was up roughly 80% in the month of April. So that gives you some – just some incremental color on what was positively impacted. What was moderately impacted to the negative and what was significantly impacted to the negative. And I'll let Gary kind of touch on the market positioning in the sales side.
Gary Norcross: Yeah, look Darrin, we've had extremely strong quarters in sales. We highlighted several in our merchant business, which is just really our global nature and scale coming to play with our strong technology. We think that'll benefit us greatly where obviously we think we'll see a further acceleration from cash to electronic transactions, which will play very strong to our strengths across the board and merchant, but especially on e-com, and also on our integrated platform.So, we're excited about us being able to take share as we come out of this, when you look at the banking, you know, we really have had exceptionally strong results in banking in the sales for consistently every quarter. This quarter by far banking was the leader in our overall sales to help propel us to 15% year-over-year. So, obviously, they were north of that. We are highlighting the significant wins in modern banking, because we've talked about a number of years on this call about when do we think we'll see this trend formation of all this pent-up legacy on-premise capability in very large financial institutions?When do we think we'll start seeing them pull this trigger to start moving to more digital open banking frameworks? And certainly we're seeing that now with these six wins and back-to-back quarters with some really significant ones with three of them being in the Top 30 last quarter alone. As we think about FinTech, you know, one of the reasons that we see them as a competitive front; at this point in time we started our investment two years ago on next generation technology.We're a leader in cloud-based deployment and our systems have performed exceptionally well. We're highlighting the wins and not only modern banking platform, but in our digital channels like Digital One. So, we think that's going to play give us a huge competitive advantage going forward, but with that being said, you know, we also announced this quarter our FIS ventures and 150 million investment that we are going to do in FinTech companies just to make sure that, you know if there's something that we can take advantage of, we will, but there's a lot going on. And we certainly believe that COVID-19 if anything will accelerate this transformation.We have a lot of our customers now, trying to understand how do I get to the cloud? How do I get to automation? How do I get to an open banking platform? Because these legacy systems are very cumbersome, especially during times of crisis like this when you're trying to push people to work from home. We've seen our digital channels, we've seen volume and Woody talked about the 80% growth in digital and e-com. We've seen the similar front on digital across our banking business and even into our capital markets group.So, you know, the demand for consumers to get access to their capabilities in these times of crisis get very high and that that obviously accelerates your need for openness and digital deployment. So, we think this will further accelerate the transformation. We're seeing our pipeline, not only are we having record sales quarter-in quarter-out, we're also seeing a pipeline grow very dramatically. So, we're excited about the position we're in and certainly, we think our team is executing well against it.
Darrin Peller: That's great. And you guys have the capability to implement through this time and get all these deals actually up and running in the timing as you would hope for?
Gary Norcross: Yeah, you know, look, we highlighted that in the call. If you would have told me, you know look, a lot of things that we're doing is just unprecedented in this time of crisis. If you would have told me four months ago, we could go to fully remote implementations and banking, I would have said, we're still years away from that. Fast forward, and in the last six weeks, we're at 100%. And I'm involved as you would imagine, at the CEO level with a lot of these large key accounts and we really have not – the team’s just done a phenomenal job I've not missed a beat.Even our capital markets group, which was traditionally on-prem for professional services or a huge percentage of it, we've been able to move that to 90%. So got a little more work to do in capital markets. The team is certainly rallying around that, and the customers are as well, but at this point in time, six weeks in at 100%, remote implementation and banking, that's outstanding, and we feel very good about it. You know, we highlighted the three top 30 wins from last quarter and the three this quarter, but as you imagine, we sign hundreds and hundreds of transactions a quarter in banking. And so the reality is all of those require implementations and really get that 100%. It says a lot about the company and where we've made investments, but also says a lot about our talent here and what they're doing to serve our customers.
Darrin Peller: Thanks, guys. Stay safe.
Gary Norcross: Thanks, Darrin.
Operator: We'll go to Jason Kupferberg with Bank of America Berg. Please go ahead.
Jason Kupferberg: Hey, good morning, guys. Hope you're doing well. I just wanted to ask on the cost synergies side, I didn't see an update on the three year target there. I think where we left off last quarter, we were at 675, of which 275 was interest expense. And now I know that you're adding 100 million to the 2020 cost synergy target. So, can you clarify where we stand for the exiting 2022 target?
Woody Woodall: Yeah, you know, we have 425 of our operating synergies exiting in 2020 along with the 275 gets you to the 700 we were discussing in terms of exiting 2020. We have not updated a 2022 number, other than we're going to be above the original target on OpEx by this year. And we'll continue to drive efficiencies out of the process, but I think it allows as Jason to some level get very focused on driving revenue synergies and accelerating our growth profile.We're very pleased with the accelerated cost actions that we've done to be able to get those costs out rapidly. And, you know, we feel very good about where we're at, but probably not going to update a 2022 cost target at this point.
Gary Norcross: Yeah, you know, Jason, like we've done in the past, just from my position, it's all about getting this – the integration done as quickly as possible. Frankly, getting your balance sheet reloaded. The faster we can move on integration, whether it's cost or revenue, the better for us as a company because we pull our teams together in a much more galvanized way. Our clients, we, you know, don't see any disruption through the process. So, the fact that we're already going to be well ahead of our targets by the end of this year, I couldn't be more pleased to have a team and if you look at the revenue side as well, Woody gave a lot of input into the kinds of signings that we're seeing in the revenue synergy, and how that's on-boarding, and there's just, you know we're going to continue to lean in on that, but like always, even once we get the cost integration behind us, what you've seen us do at FIS for years is we're always focusing on how to further drive operating efficiencies.Woody highlighted the need to drive more functional organization deployment. We're well down the path. Through the integration of Worldpay that's going to continue reevaluating our real estate as part of COVID-19 as a backdrop we’re so successful at working from home. We're going to really take a hard look at that. So, there's just a lot more, labors who will continue to pull that'll drive benefits into the future, but at some point in time, we'll want to declare victory on the integration. And it's just more about moving on and running the business then.
Jason Kupferberg: Yeah, well, it's great to see two years ahead of schedule along on that target. Just as a quick follow up, going back to the chart on Slide 10, and I guess it was or 12, sorry, with the verticals, or the segments, I should say, can you just help us on the banking side with that chart there? You have the three pieces of banking solution revenue, can you just give us a sense of what the growth rates for those three pieces look like in Q1 and in April?
Woody Woodall: Yeah, you know, we've talked about banking overall being at 83%, 17% non-recurring, you know, banking would have grown roughly 3% without the headwind. Certainly that that small sliver or 13% of the transaction related was the one driving that growth rate down compared to maybe mid single digits, which is where we're anticipating guided to originally in the plan. The balance of the 17% was roughly in line with plan and then the remaining you know, 70% that's not transaction right. It was roughly in line with plan Jason.
Jason Kupferberg: Okay, terrific. Thanks guys. Stay safe.
Gary Norcross: Thanks.
Operator: Pardon me, we will go to David Togut with Evercore ISI. Please go ahead.
David Togut: Thank you. Good morning and good to hear your voices, Gary, Woody and Nate. Gary, you had 6% backlog growth in the first quarter of this year, and then at the end of 2019, you had 20%, backlog growth, how should we think about these big wins? Especially the three Top 30 wins in the fourth quarter, starting to layer into revenue for banking solutions in 2020 and 2021?
Gary Norcross: Yeah, no, it's I just couldn't be prouder. David, it's great to hear your voice as well. I'm glad you're doing well. And – but as you think about, I couldn't be prouder of where the sales teams have been in executing in this transformation, and what we're seeing is just a lot of continuous demand. As we've talked in the past, some of these deals have been really long term sales processes. And some of them, you know, when you start getting in the Top 30, some of them are greater than 12 months to implement.So, we've got a really kind of two scenarios. We've got some of our signings on modern banking platform are going to launch with a single product, right to get to market as quickly as possible kind of land and then expand and displace their legacy. Some are looking to big bang displace their legacy in a wholesale broader asset class, and so, for example, moving all of their deposit operations at one time as an example. And so depending on the scope of the implementation also depends on how rapidly you'll start seeing revenues contribute to the banking business.We will with that as a backdrop, though, be driving revenue through the implementation process through professional services. So, you're already seeing some acceleration at growth. Woody talked about banking, really performing well in line with our plan. You know, had you stripped out COVID-19, we were teed up in banking actually.Overdrive this year, given everything that we've signed and given how successful those implementations are going, but implementation typically to answer your question run anywhere similar to the sales cycle about 12 months before you really start seeing real processing revenue dropped at the top and bottom line, and in average across all of our wins in banking. That's, that's consistently what you're seeing.So, you'll notice banking has been very consistent accelerating their growth rates over the last year. That's because of the historical success of sales. So, you have – we had a great quarter six quarters ago, 12 months later, roughly, you're starting to see that on-boarding and vice versa, and you kind of get that momentum. And so, we're really bullish on what's going on in the banking business, similar on the merchant business as well. When you look at what – you look at where they were targeted, Woody highlighted the growth rates that we were seeing on a merchant through January.We saw a little earlier impact and some just due to our Asia exposure with COVID, but just a phenomenal business for us, and really high growth sector markets. And then capital markets just had a phenomenal quarter. That team continues to do an excellent job managing through that transition from license sales, to SaaS reoccurring, and so, really all three segments are performing at a very high level right now for FIS.
David Togut: Appreciate that. And just as a follow up woody in your prepared remarks he talked about a return to growth in 2021 and 2022, is there any way to start to dimension what that growth might look like?
Woody Woodall: I would say very difficult because the comps are difficult for 2021 in terms of what 2020 lands at David, but the point would be back to the original sort of sans COVID outlook, we were accelerating in the lineup that we had originally through the Worldpay acquisition because you’ve seen us going, you know, closer to 7% this year, and then moving forward without it into [seven to nine] in the go-forward year. So, I think the overall strategy that we talked about in terms of trying to accelerate our overall growth profile sans COVID-19 was playing out exactly as we anticipated.
David Togut: Understood, thanks so much. Stay safe.
Operator: We will go to Tien-tsin Huang of JPMorgan. Please go ahead.
Tien-tsin Huang: Thanks so much. That was really impressive that you guys are fully remote with the implementations and those are all on track, and there's a lot of hard work to get there. So, I'm curious longer-term implications of this, does this change your delivery costs? And maybe how you bill for that relative to terms you would normally agree to as an SLA? And I'm thinking here, could it lower the total cost of ownership for clients that might be considering an upgrade here in any way?
Gary Norcross: Yes. No, I think you're bringing up an interesting point. We talk about it almost daily, you know, in our daily debriefs and how we're thinking about the pandemic and the impact it's going to have, obviously, short-term, but also long-term and do I think that remote implementations are going to be the new norm going forward? You know depending on how long this goes, the duration, I think, these practices could get really burned in. You know, do I think they'll say at 100%?You know there's always a time where someone wants to be in the same room, but I do think it will materially change the way we do business with regards to implementation. I think travel and those expenses associated with travel are always a high number with implementations, and certainly, a way for our clients and prospects to lower their total cost of ownership on delivery and implementation. But I do think we'll see a long-term impact where more and more of this will get remote.From a pricing standpoint, I don't see impact there for us. I mean I think whether they're remote or on-prem, the cost of resources – the cost of the resource and the way we price for that, we're not expecting any impact whatsoever, but I do think the ability to do much more of this on a remote basis. I think a lot of our travel, where we were aggressive over the years as all companies were on travel, I think, you'll see that, just in general, come down as well because we've all gotten very successful at video conferencing and working through this new medium as we deliver service.
Tien-tsin Huang: Yes, good stuff. My follow-up, if you don't mind, just on the merchant side, how is the – I know you said the pipeline for digital is strong, do you think that you're able to backfill some of this lost travel business relatively quickly with some new e-com business as merchants adapt to a more digital world? Just trying to think about how that interplay of pull forward versus, you know, maybe a return to normal how that might play out? And then also, just because some people are asking me, on Slide 12, the Merchant Solutions, the wheel chart, where you show the percentages there, is that – just to clarify, that's a revenue percentage contribution of each and – because I'm sure the volume contribution is quite different? Thank you.
Gary Norcross: Right. Correct. That is a revenue contribution. You know, I do think we'll be able to offset some of the travel and airlines. You've already got a digital business. It's already larger on a percentage basis of revenue than our travel and airlines business, you've already got that percentage, as Woody highlighted, growing 80%, so they were in. We’re also successfully taking share.So, as you think about it, I do think there's an opportunity here. If you look back historically over the last 12 months, our digital sales have performed very nicely over the last four quarters. And so, I expect that to continue. So quick answer is yes, I do expect that we'll be able to fill in some of that gap. And we also expect to see our travel and airline business start showing some recovery later this year.
Tien-tsin Huang: Terrific. Thanks for the update.
Operator: Now, we'll go to Ashwin Shirvaikar with Citi. Please go ahead.
Ashwin Shirvaikar: Thank you. Hi guys. Hi Woody, I’m glad you’re well. Thank you for all the details.
Woody Woodall: Hi, Ashwin. How are you?
Ashwin Shirvaikar: Hey. Yes, good to hear voices. Questions on – I guess the first question is on expense levers that you have you can quantify some of the things that are getting you the incremental synergies, the cost savings, the clarification of the incremental $300 million, you know, to get to the cost savings of $1 billion, is that incremental to the cost synergies that you laid out and independent of it?
Gary Norcross: Yes.
Ashwin Shirvaikar: And on the flipside, your shrinkage, as you think of it, when you have shrinkage, is the 65% to 70% sort of a good marker for negative operating leverage?
Gary Norcross: I'm sorry, if you repeat your last question…
Woody Woodall: Last question, Ashwin.
Ashwin Shirvaikar: Oh, so you mentioned that there is going to be shrinkage obviously, right, in parts of the business. As we think of shrinkage and the impact on margins, is it 65%, 70% a good marker for how to think of decremental margins?
Woody Woodall: Got it.
Gary Norcross: Got it, yes.
Woody Woodall: I'll touch based on both of those and then, Gary’s can add any color. If you look at the $300 million incremental short-term cost levers that we talked about, most of those are shorter-term in nature. Some of those will be permanent, but most of them will be shorter-term in nature really around short-term bonus reduction, it will be travel reduction, as Gary mentioned earlier. We'll also have some reduction in consulting costs.We've got, you know, a hiring freeze connected to non-revenue generating positions, so all of those things – we can turn those levers off really quickly, but it's more – a little more short term in nature. We're also looking at incremental facilities, but those are separate and distinct from the $700 million of cost synergies that we identified in the prepared remarks and in the pages themselves. When you look at contribution margin, I would tell you, the last payment processing revenues come along a very high contribution margin, call it 75% plus.So, it's certainly impacting the margin profile, but we're doing, you know, everything we can in terms of trying to protect short-term margins, while one, trying to minimize impact on employees and minimize the impact of future growth because we do believe we'll come out of this very strong.
Gary Norcross: Yes, I would just – to build on that, Ashwin, what we really wanted to focus on was our employees, our colleagues around the world. We wanted to make sure that, you know, we maintained – unlike the 2008, 2009 crisis, this isn’t a financial crisis, and so for us, it's a health crisis, and we want to make sure that we maintain our colleagues. We want to maintain that we're focusing on our clients and implementation. And so, the short-term levers are not unlike what we pulled in 2008, 2009. And if you'll remember, coming out of 2008, 2009, we actually saw 200% plus of margin expansion.Now, what I would tell you is based on April results and where we're seeing us arrive at a low watermark there, honestly, Woody and I both and the whole leadership team are very confident that we'll get margin expansion for the – few years. But several of these cost levers obviously will come back, right, as – into next year as we start returning to our normal. Some, which will be counted outside of the synergy, will actually have long-term ramifications. As we look at real estate, you know, we're taking a real hard look at our real – our global real estate footprint to start challenging ourselves on, you know, we're so effectively working from home, do you need that real estate going forward? So, there will be some of these levers on hold and we’ll actually have long-term recurring benefit to FIS.
Ashwin Shirvaikar: Got it. And the follow-on, I mean, both of you mentioned the phrase coming out of this strong, which is something obviously we believe in as well. The question really is, as you look at the segments and look at competition across three segments, what are sort of the elements that competitive advantage that you think you can exercise, you know, the most and quickest in order to sort of demonstrate that strength that you mentioned?
Gary Norcross: Well, I think we're seeing it in our sales, and we're seeing in our accelerating growth rates across all three segments. We made such a conscious decision over about four years ago to really start investing heavily in next generation technologies like the cloud. We leveraged our data center consolidation program, which, as you know, was focused on taking 250 million of cost down annually. All of that investment has allowed us to pivot very, very quickly, to not only work from home, but to drive new capabilities into the market, whether it's through mass enablement of product.You know, we deployed our real time lending solution to more than 80 financial institutions in a week's period of time. I mean, that's just unprecedented and we were able to do that because of the next generation of technology. So, whether that plays in banking, whether that plays in capital markets, whether that plays in merchant, on all three fronts, we've been making those investments and it's really starting to differentiate. We highlighted the large multi-national and literally combining 40 different providers to just FIS globally.If you want an example of where we differentiate, that's the perfect example where we literally can take out 40 different competitors, 40 different solution providers, and really drive a unique omni-channel experience for that single customer in our merchant portfolio. So, we really do think that that investment that we started is really paying huge dividends for us, and look, it's a very competitive market. So, we see a lot of competition out there. We just feel really good about our ability to compete on a number of these fronts.So whether it's availability, we've got industry leading availability across all of our technology stacks; whether it's next generation innovation, and you know, we talked about it on multiple calls, we're bringing new innovations to market that we've been working on. We continue to functionalize a lot of our operation, which really helps us to be much more nimble. We've now pulled all of engineering together on banking and payments, which really allows us to accelerate those kind of investments. So, there's just a lot of things going very well right now at FIS. So, I would say across all three segments, those are the things that really differentiate us.
Ashwin Shirvaikar: That's a really great summary, appreciate it. Thank you.
Operator: Now we'll go to Dave Koning with Baird. Please go ahead.
Dave Koning: Oh, yes. Hey guys. Thank you, and excited to hear you guys.
Gary Norcross: Hey.
Dave Koning: Yes, hey, there. So I guess my first question just on the merchant segment, you know, historically, we kind of thought about it between the tech solutions, and then, the kind of legacy merchant businesses, and, you know, often the first group would grow kind of high teens and the second group could grow kind of low-to-mid. I know right now you mentioned e-com, you know, is challenged by some of the airline stuff, but maybe if you could just give us the growth rates between those two, and you know, how they move in a market like this?
Woody Woodall: Yes. We're trying to give you some color almost breaking down pieces within the e-com, between e-com, ex-travel and traveling airlines, plus 30, cross border ex-travel airlines, plus 30, and then, the digital plus 80, with airlines going down roughly 90%. If you're looking at integrated, integrated certainly had some more negative impact because of its connectivity to small and medium sized merchants, which has obviously had some down.So, we try to give you some different views of color this time and break those segments down incrementally. We didn't highlight necessarily the old way of looking at it how Worldpay did with the tech stack because of the different profile between small business on integrated and the different underlying dynamics going on in e-com, some very positive, some relatively negative being travel and airlines, Dave.
Dave Koning: Okay. No, that's helpful. And then, I guess the same thing on the legacy, way we looked at FIS just between GFS and IFS, it seems like you're winning a lot in GFS, but maybe how does the current situation kind of impact the bigger versus smaller banks?
Gary Norcross: You know, honestly, we feel great about what's going on across our entire market. So, we don't even really – there's really no way to break down GFS, IFS vernacular. We're having tremendous sales success not only in the large financial institutions, but also in community markets. We've continued to do exceptionally well with some of our – with a lot of our investments that we've made around cloud, our investments around digital, and all of those are contributing and grow.So, when we think about where we are in banking today, we really think about a U.S. centric focus on the U.S. centric portion of banking. We really think of it as larger institutions, a larger community banks into the largest in the country, and then, obviously, we think about banking globally in the various regions, whether it's Europe, whether it's Asia-Pacific or LatAm, but we really feel good about where the banking business is stacking up given – and it really does date back to just the significant investments that the team started making in next generation technologies and it's far more than just modern banking platform.If you look at Digital One, for example, our next generation digital omni-channel experience, that’s ubiquitous across all of our markets and across all of our platforms and even plays globally. So, the team's done a really excellent job with next generation design, development and delivery.
Dave Koning: Great. Well, hey, thanks, guys.
Operator: And we’ll go to Timothy Chiodo with Credit Suisse. Please go ahead.
Timothy Chiodo: Thanks. Good morning, everyone. Thanks for taking my question. I think I echo some of the earlier comments, thank you for Slide Number 12, it's extremely helpful. Just given the near term and potentially the longer term mix shifts in the business towards digital, e-com, etcetera, we've been getting a lot of questions and hopefully you can help us just clarify some of the varying economics across the various channels, whether it's cross card-present to card-not-present, cross border versus domestic transactions, or maybe protect any highlights by vertical, anything you can comment in terms of – within the acquiring segment, what the economics are, how they differ, potential to sell additional ancillary services, anything along those lines would be very helpful?
Woody Woodall: We have spent a lot of time detailing out dynamics there, but overall, I'd say, you know, cross border tends to have a little better economics. You know, grocery and drugs have a little less. And then, you know, e-commerce is better than point-of-sale, cross border being the top, e-com being a little better than point-of-sale, but those are kind of at least some of the dynamics we're thinking about in the economics within those individual components.
Timothy Chiodo: Okay, great. That's very helpful. And then also, I apologize for circling back, and my apologies if you’ve mentioned this already, but could you just dig in a little bit to the Q2 Merchant disconnect, the 30 versus the 40 and the push out of revenue into Q3 that you mentioned with a little more color, that would be greatly appreciated?
Woody Woodall: Yes, it's very specific. Our merchant volumes in April were roughly down 30% in the aggregate, generally in line with kind of the Visa, MasterCard information that came out last week. If you look at that compared to our expectation of revenue down roughly 40% in April, we do a lot of tax payment calculations or tax payments for the government and our consumers are filing their taxes, that tax deadline moved from April 15, which is a Q2 item when we normally see the revenue, to July 15 where we'll see that revenue in the third quarter of this year. So, you’ve just got a little swing between the second and third quarter between tax payments just based on moving the tax filing deadline.
Timothy Chiodo: Alright, great. That's extremely helpful. Thanks a lot.
Gary Norcross: Thank you.
Operator: And our last question will come from George Mihalos with Cowen. Please go ahead.
George Mihalos: Hey, thanks, guys. Glad you’re doing well and thanks for squeezing me in.
Gary Norcross: Hey, George.
George Mihalos: Two quick questions, if I may, I guess first, Woody, just to circle back on the trends in April, I think you said volume overall was down, call it about 30%. I'm just curious if you could talk a little bit about maybe what the exit rate in April was compared to the beginning of the month? I would assume it's gotten somewhat better as the month has gone on?
Woody Woodall: Yes, I would agree. It has gotten a little bit better and even into, you know, May 7 now, we are seeing the trends improve a little bit. I wouldn't say it's a rapid bounce back, but we are certainly seeing the trend starting to improve to your point, both at the end of April, and into even early May.
Gary Norcross: Yes, just – George as you would expect, as state start lessening, right, their stay-at-home policies and start opening up the states, right, as you would expect, we're starting to see not only those volumes bottomed out, but improvements as those decisions are making and being made.
George Mihalos: Okay, that's very helpful. And just a quick follow-up, and I think you – Woody, you sort of touched on this on with Ashwin’s question, but if we look at sort of the $300 million of temporary cost savings, cost cuts that you've implemented, is there a portion or should we think about a portion of that that may end up being permanent? And then, you know, exactly what are you looking for to reinstitute some of those expenses? Is that a return to grow with a specific, you know, historic growth rate? Any color around that would be helpful. Thank you, guys.
Woody Woodall: Yes, that's right. Within the $300 million, certainly, some of it will be permanent in nature. I think it will be aligned with a return to more normalized growth coming on the outside of this. You know we had positions that needed to be filled, but because they're not revenue generating in the short-term…
Gary Norcross: That’s right.
Woody Woodall: …we're having it frozen versus trying to impact current employees, for example. So, we're definitely going to see some of those costs come back, but some of them will be more permanent as we try to reduce third-party expenses, reduce travel permanently.
Gary Norcross: Yes.
Woody Woodall: And reduce consulting costs on a more permanent basis here. So, some will be permanent, some will be short-term in nature.
Gary Norcross: Yes. I mean, look, George, we've talked a little bit about that and another one, but, you know, as you think about real estate, you know, I think we'll make some real estate decisions that will be permanent in nature. You know, as you think about travel, we know – we think that will be very slow to recover on certain things, especially a lot – any kind of discretionary travel. As you think about contractors, as you think about some of those things, and we really – we already had those on target.You know that's a really good opportunity for us to move some of these functions internally to FIS at much lower dollars and we had a lot of that teed up anyway, but that's just all part of the things that we consistently do in running the company. So, I do think some of these – some of those savings will be long term in nature. What we wanted to do as a team is just rally around the need to make sure that we keep our investments going through this pandemic, because obviously, we want to maximize our growth coming out of this.We think there's a real opportunity, given the strength as a company that we can focus on these things and actually make some moves during this time, that'll be beneficial, and obviously to Woody's point we’re really going to focus on our global colleagues, and minimize any impact we can hear just due to the nature of the crisis. So…
George Mihalos: Appreciate the color. Thanks guys. Be safe.
Gary Norcross: Thank you.
Woody Woodall: Thanks.
Gary Norcross: Well, thank you for joining us today and for your ongoing interest in FIS. In closing, I'd like to thank our clients for the trust they placed in us to keep their businesses up and running through these unique and unplanned times. Their support and heartfelt thanks to our many employees supporting their businesses has been well received and valued by our employees and leadership team.I'd also like to send my sincerest thanks to our more than 55,000 employees worldwide who have remained focused on their health and safety first, while also having a clear understanding of our role as a critical infrastructure provider, knowing that commerce and the financial world relies on us to facilitate the transactions and move the money that fuels the economy. Our employees’ unwavering focus on our clients and their need to stay operational has been remarkable and is a true testament to our lead with integrity FIS culture. Thank you for joining us today.
Operator: Thank you, ladies and gentlemen. That does conclude your conference for today. Thank you for your participation and for using AT&T teleconference service. You may now disconnect.